Operator: Greetings, and welcome to the Valmont Industries First Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host is, Renee Campbell, Vice President of Investor Relations and Corporate Communications. Thank you, Ma'am. You may begin.
Renee Campbell: Thank you, Donna, and good morning, everyone. Welcome to Valmont Industries first quarter 2021 earnings call. With me on today's call are, Steve Kaniewski, President and Chief Executive Officer; Avner Applbaum, Executive Vice President and Chief Financial Officer; and Tim Francis, Senior Vice President and Corporate Controller. This morning Steve will provide a brief summary of our first quarter results, and comment on our strategy and long-term business outlook. Avner will review our financial performance and provide trends and key assumptions for the second quarter and full year 2021, with closing remarks from Steve. This will be followed by Q&A. A live webcast of the slide presentation will accompany today's discussion, and is available for download from the webcast or on the Investors page valmont.com. A replay of today's call will be available for the next seven days. Please note that this conference call is subject to our disclosure on forward-looking statements, which applies to today's discussion, and is outlined on Slide 2 of the presentation. It will also be read in full at the end of this call. I would now like to call over to our President and Chief Executive Officer, Steve Kaniewski.
Steve Kaniewski: Thank you, Renee. Good morning, everyone, and thank you for joining us. Before we recap our first quarter results, I would like to share some opening comments. On March 8, we recognized our 75th anniversary as a company. We've come a long way since 1946, when our founder Robert B. Daugherty, a young marine coming home after World War II started a fabrication shop in the small community of Valley Nebraska. Our business has certainly evolved over the past 75-years. But over this time, we have remained centered on serving our customers and delivering value through our focus on execution, and our commitment to conserving resources and improving lives. As we reflect on our history, we're very proud of the impact we've had on the lives of employees, customers, suppliers, business partners, communities and all those we have touched. As we look forward, we are energized by the opportunity to continue expanding this impact long into the future. We're also excited to host our virtual Investor Day coming up in May, where we will share more about our strategic vision for the company, and have several of our business leaders provide greater insight into their businesses and markets. Now, let me take a moment to acknowledge our commercial teams for their quick and deliberate actions to adjust market prices, in response to rapid inflationary pressures. Beginning in the fourth quarter of 2020, our disciplined and deliberate strategy to be the price leader in all our markets, enabled by our strong product portfolio has served us well in this unprecedented inflationary environment. I also want to recognize our operations teams, who have been working hard since the onset of the pandemic, and redoubled their efforts this past quarter to secure our supply chain. Through these diligent and focused efforts, we were able to avoid material disruptions in our operations and delivered solid operating income growth for the company. With that, let me start with a brief recap of our first quarter, summarized on Slide 4 of the presentation. Net sales of $774.9 million increased $100.7 million or 14.9% compared to last year, due to significantly higher sales in the irrigation and utilities support structure segments. Starting with utility, sales of $253.1 million grew $27.7 million or 12.3% compared to last year. Strong demand for renewable energy generation and utilities increasing investments in grid hardening and resiliency continued to drive sales growth. Moving to engineered support structures. Sales of $222.3 million decreased $8.4 million, or 3.6% compared to last year. Favorable pricing, growth in wireless communication sales and favorable currency impacts were more than offset by anticipated lower transportation market volumes, as delays in the FAST Act approval during 2020, and the impacts from COVID-19 continue to affect the timing of road and construction projects. Wireless communication structures and components sales grew 20.6% compared to last year, strong demand was led by carriers increasing their capital spending in support of 5G build outs, as evidenced by significantly higher sales of our new small cell product offering and existing components sales. Favorable pricing in all regions also contributed to sales growth. Turning to Coatings, sales of $93.3 million grew $5.1 million or 5.9% compared to last year, and improved sequentially from last quarter, primarily from more favorable pricing and improving end market demand. In irrigation, sales of $229.7 million grew $72.9 million or 46.5% compared to last year, with growth across most global regions, including 34% growth in our technology sales this quarter. In North America, sales grew 15% year-over-year. Farmer sentiment has improved significantly, and the positive market drivers we mentioned last quarter are generating strong order flow. Agricultural commodity product prices remain at multi year highs, and net farm income levels are expected to remain elevated. Overall, world market demand for ethanol and very low feed and protein stocks in the U.S. and China are driving significantly higher demand for grain exports. International sales growth more than doubled compared to last year, and was led by higher sales in the Middle East, European markets and in Brazil, where we recognized another record quarter of sales in local currency. Deliveries of the multiyear project in Egypt continued during the quarter, and the project is tracking well. Sales in this segment were slightly below the range that we guided to last quarter, mainly due to a series of supply constraints of certain irrigation components. The strength of our global supply chain and the agility of our global footprint, help mitigate the impact and others across our businesses. And these constraints have improved as we've entered the second quarter. This is just timing. And we expect these sales to be recognized in the second quarter. Scalability is one of the benefits of our portfolio, enabling us to purchase mill-direct steel and minimizing disruption in the procurement of steel, zinc and other metals to meet customer order commitments. Turning to Slide 5, last month, President Biden revealed the American jobs plan, valued at more than $2 trillion. This multiyear stimulus package includes approximately $620 billion to modernize roads, bridges and highways, $100 billion allocated to electrical grid investments, and $100 billion focused on high-speed broadband investments. We recognize that additional details and approvals must be worked through. So the timing of these benefits are uncertain. However, we believe the administration's increased emphasis on upgrading aging infrastructure on our nation's roads and highways, reducing traffic congestion and carbon emissions, hardening the electrical grid, and increasing access to wireless connectivity across the country will provide longer-term funding, stability that will have a positive impact on our infrastructure businesses. Moving to Slide 6, last month, we released our annual sustainability report, highlighting the contributions of our products and services to conserve resources, improve life, and build a more sustainable world. I'm proud to have also announced our 2025 sustainability goals for carbon intensity, global electricity and global combustion fuel, along with setting water standards across the enterprise within this report. Later today, as a part of our Earth Day activities, we will commemorate the installation of our 1 megawatt solar field at our Valley Nebraska campus. We are proud to be operating the largest privately owned behind the grid solar field in the state of Nebraska. Covering more than four acres, it will provide our campus with 6% of its electricity needs. I want to congratulate our team and our business partners, who worked diligently on this project, strengthening our commitment to innovation with sustainability in mind. We look forward to providing more updates on our ESG initiatives at our virtual Investor Day and throughout the year. With that, I will now turn the call over to Avner for our first quarter financial review and 2021 outlook.
Avner Applbaum: Thank you, Steve, and good morning, everyone. Turning to Slide 8, in first quarter results, operating income of $77.2 million, or 10% of sales was similar in quality of earnings to last year, driven by higher volumes in irrigation and utility, favorable pricing, which helped to offset the impact of rapid raw material cost inflation, and improved operational efficiencies. First quarter diluted earnings per share of $2.57 grew 29.1% compared to last year, driven by higher operating income, and a more favorable tax rate of 21.9%, which was primarily due to a one time incremental tax benefit associated with employee stock option exercises. Turning to the segments, on Slide 9, in utility support structures, operating income of $221.7 million, or 8.6% of sales decreased 380 basis points compared to last year. Strong volumes and improved operational performance were more than offset by the impact of rapidly rising raw material cost, which could not yet be recovered through pricing. Moving to slide 10, in engineered support structures, operating income of $19.9 million, or 9% of sales increased 210 basis points over last year. Overall, we were very pleased with the results from the actions we took to improve performance through proactive pricing strategies, and reduce SG&A expense to offset inflation and the lower volume. Turning to Slide 11. In the Coatings segment, operating income of $12.9 million, or 13.8% of sales was 130 basis points higher compared to last year. Favorable pricing offset lower external volumes due to COVID impacts on end markets and a one-time natural gas expense of approximately $800,000 related to the February winter weather event in Texas. Moving to Slide 12, in the irrigation segment, operating income of $38.7 million, or 16.9% of sales was 180 basis points higher compared to last year. Strong volumes and improved operational efficiency were partially offset by higher R&D expense for strategic technology growth investments. Turning to cash flow on Slide 13, we are focused on inventory optimization and overall improvement of the cash conversion cycle across our businesses. These efforts helped us deliver operating cash flow of $33.2 million and positive free cash flow this quarter, despite extraordinary inflationary pressures. Inventory levels are expected to remain elevated this year due to higher steel costs. Turning to Slide 14, for a summary of capital deployment. Capital spending in first quarter was approximately $28 million, and we returned $21 million of capital to shareholders through dividends and share repurchases, ending the quarter with $391.5 million of cash. We continue to have an active acquisition pipeline and are prioritizing strategic investments in technology, especially in irrigation, higher growth products and markets and business solution that align with ESG principles, while meeting our return on invested capital goals. Moving now to Slide 15, our balance sheet remains strong with no significant long-term debt maturities until 2044. Our leverage ratio of total debt to adjusted EBITDA of 2.1 times remains within our desired range of 1.5 to 2.5 times, and our net debt to adjusted EBITDA is at one time. Let me now turn to Slide 16, for outlook, including a few key metrics and assumptions. For the second quarter, we estimate net sales to be between $805 million and $830 million and operating income margins between 9.5% to 10.5% of net sales. The tax rate for second quarter is expected to be between 23% and 24%, due to the execution of certain U.S. tech strategies. We're also reaffirming our outlook for the full year. Net sales are estimated to grow 9% to 14% year-over-year, which assumes a foreign currency translation benefit of 2% of net sales. Earnings per share is estimated to be between $9 and $9.70, excluding any restructuring activities. Other metrics and key assumptions supporting this outlook are summarized on the slide and in the press release. As mentioned last quarter, with unprecedented raw material cost increases and higher freight costs, we continue to take quick and deliberate steps to implement pricing actions across all our segments, including multiple increases since the beginning of 2021, and are maintaining these strategies across our serve market. We are already seeing the benefit in most of our businesses, with an improvement in utility support structure expected in the second-half of the year. Turning to our segment outlook on Slide 17. In utility support structures, our record global backlog is providing good visibility for 2021 and beyond. Although, steel costs remain at elevated levels, we believe the biggest challenges are behind us. We expect the quality of earnings to improve beginning in the second quarter. Contractual increases in selling prices will begin offsetting steel costs inflation, and we expect a meaningful improvement in gross profit margin to accelerate in the second-half of the year, as higher steel costs indices are reflected in selling prices. Moving to engineered support structures, we continue to expect some short-term softness in transportation markets, as projects have been delayed due to the delays in 2020 FAST Act extension approvals and continued COVID-19 impacts, especially in France and India. Demand for wireless communication structures and components remain strong. We believe sales will grow 15% to 20% in 2021, in line with market expectations as carriers’ investment in 5G are expected to accelerate throughout this year. Moving to coatings, end market demand tends to correlate closely to industrial production levels. We expect to see modest sequential growth, as the economy continues to improve and benefit from government stimulus initiative in certain international markets, including Australia. Moving to irrigation, we expect favorable comparisons based on the estimated timing of deliveries of the large Egypt project, strong net farm income driving positive farmer sentiment and a robust Brazilian market. We expect another quarter of positive free cash flow driven by our emphasis on improving the cash conversion cycle and strategic inventory management. Raw material inflation can create short-term impacts on cash flows. And as previously mentioned, we have enacted strategies to manage these impacts, including certain raw material financial hedges to cover backlog. With that, I will now turn the call back over to Steve.
Steve Kaniewski: Thank you, Avner. Moving to Slide 18, we are off to a great start in 2021 across all end markets, as evidenced by our record $1.3 billion backlog at the end of the first quarter. In utility, our record backlog global backlog of nearly $720 million demonstrates the ongoing demand and necessity for renewable energy solutions, grid hardening and expanding ESG focus within the utility industry. We are very pleased to announce that in the first quarter, we were awarded the third and fourth purchase orders totaling $220 million for the large project in the Southeast U.S., extending our backlog through the beginning of 2023 with that project, and reconfirming our customers’ confidence in our performance. We continue to strengthen key alliances with utility customers. And with our broad portfolio of products and manufacturing capabilities, we are well-positioned to be the preferred strategic partner with utilities and developers for their renewable energy and grid hardening goals. In engineered support structures, we expect a solid year with some short-term softness and transportation. But the longer-term market trends, especially for road construction and single family housing, support future growth. Further, the critical need for infrastructure investment globally gives us confidence that these trends will remain strong. We expect demand for wireless communication structures and components to accelerate throughout 2021. Bringing reliable, high speed broadband connectivity to people around the world is vital to elevating standards of living, safety and opportunity. Our broad portfolio of towers and components positions us well to support rural broadband connectivity initiatives. Working with groups, such as the Wireless Internet Service Providers Association and the American Connection Broadband Project Coalition to help bridge the digital divide. We're encouraged that both current and proposed legislation has allocated funding to support these efforts. Our coatings business closely follows industrial production trends and general economic activity. The drivers remain solid, and the preservation of critical infrastructure and extending the life of steel fits well within our ESG principles. And in irrigation, recent improvements in net farm income have improved grower sentiment. And tighter ending feed and protein stocks are keeping grain prices at sustained six and seven year highs. As evidenced by our global backlog of over $350 million, this improved demand along with the strength across international markets, and the large scale multiyear project in Egypt is providing a good line of sight for this year. Building on our strategy as a technology leader, earlier this week, we announced the acquisition of PivoTrac, a Texas-based ag technology company, with products focused on telemetry and control. This acquisition strengthens our footprint in the Texas, Panhandle region, and adds more than 9,000 connections to our portfolio, growing our total connected machines to more than 123,000. This technology will integrate well with our AgSense platform going forward, and each connected device adds to the cumulative positive effect of the recurring revenue stream that these solutions provide. We would like to welcome the PivoTrac team to Valmont. Turning to Slide 19. In summary, our focus on execution and the benefit of positive market tailwinds across our businesses have led to a great start this year, and these look to extend into 2022. We expect solid operating performance and strong EPS accretion in 2021. And our teams are managing through the challenges of the current inflationary environment very well, through proactive pricing actions and the strength of our global supply chain. We remain focused on profitable growth and return on invested capital improvement, while keeping our employees and communities safe and investing in our businesses for growth. And, as a reminder, we are hosting a virtual Investor Day on May 20, where our leadership team will provide a deep dive into our businesses, and an update on our strategies to drive growth and long-term shareholder value creation. We encourage you to register in advance using the link on our investors’ page. I will now turn the call back over to Renee.
Renee Campbell: Thank you, Steve. At this time, the operator will open up the call for questions.
Operator: [Operator Instructions] Our first question is coming from Nathan Jones of Stifel. Please go ahead.
Nathan Jones: Good morning, everyone.
Avner Applbaum: Good morning.
Nathan Jones: I guess, I'll start with the obvious one. The first quarter baits, the second quarter guidance is ahead of consensus. And there's no guidance range race for the full year. Is this just conservative, we've only done one quarter? Or do you see any headwinds in the back-half of the year? Just any commentary you've got around that?
Avner Applbaum: Sure. So, let me start off by saying, we really feel good about how we started the year, the Q1 performance. Going into Q2, we even have more confidence with the increased backlog, the pricing actions we took so far. Having said that, as you stated, right, we're only one quarter in the year. We're being conservative, due to the inflationary pressures and raw material waiting for that to stabilize. There's also some uncertainty around COVID, specifically in France, India, potentially Brazil. So overall, yeah, we feel really good about the year, some uncertainty and as we gain better visibility, we'll update the guidance.
Nathan Jones: Fair enough. Then on price cost. I wanted to just particularly look at U.S. I know you guys had signaled that you were going to have some margin pressure there in the first quarter as it takes time for some of these contracts to reset. I was maybe a little bit surprised to see the price mix line, they're actually negative. Can you talk about that? And when these contract terms will reset? When you'll be able to get that pricing through? And how we should think about the progression of margins as we go through the rest of the year?
Avner Applbaum: Right. So really where that's coming from is it's going into the year is the pricing we had in the backlog, so that's where you see the negative pricing. Because you raise the pricing, but you won't see the impact, as we said until the second-half, that's why you're seeing the kind of a negative pricing, if you will. But as we go into the second-half, we will see that, you will see that turnaround there with the pricing higher than the cost. And that's where we'll get the improvement on the LP side.
Steve Kaniewski: Nathan, this is Steve. Most of that backlog was priced prior to the indices moving up in probably the second quarter and third quarter of 2020. So, it was before the steel moved up, the indices were actually down. So it was our volume that really made the difference in the quarter. You know, as we go forward, we would expect somewhere in the lines of 200 to 300 basis points improvement on the backside of the year, when you look at utility.
Nathan Jones: So we should think about the second quarter margin for utility kind of in a similar range to where it was in the first quarter. And then we'll see the step up from the increased pricing running out of the backlog as we get into the second-half?
Avner Applbaum: Yeah, and actually towards the end of the second quarter, we will already start seeing the improvement there in the margins.
Nathan Jones: Okay. A bit better in the second quarter, and then better in the second-half. Okay, I'll pass it on and let some other people dig in.
Avner Applbaum: Thank you.
Operator: Thank you. Our next question is coming from Brian Drab of William Blair. Please go ahead.
Brian Drab: Good morning. I'm going to take Nathan's first question and build on that to begin though. I'm just wondering are you at least willing to concede that you're trending toward the high end of the guidance range that you stuck with. Because I'm just looking at we did over $2.50 in the first quarter, you'd have to do, like $2.10 in the next three quarters, when you just clearly told us that things are getting better in so many different ways. Would you say you're trending toward the high end of the range?
Steve Kaniewski: Yeah, I mean, coming out of the gate with the number that we did that's where we're trending. As Avner pointed out, some of the hesitation is just around the fact that raw materials have not really stabilized. And as you can see in the utility segment, depending how quickly they rise, we don't always get it back from price. And then you take just the project nature of the business. We have a couple of big projects, if there's any movement in those that will have an outsized effect on us. So, we're just being cautious, only being one quarter in. As we get to the end of the second quarter, we'll obviously have a much better look at the rest of the year, and be able to update guidance at that point.
Brian Drab: Right. And I know you're talking to us again soon, in May, as well. I guess it's probably something else that goes into your calculation there. We'll have a little more visibility at the Analyst Day, as well. And just to follow up on this, as you look at the year, where could the upside come from? If we end up looking back at 2021, and say we did over not this my number, I'm throwing out there, say we end up at over $10 in EPS, where do you think that upside would come from?
Steve Kaniewski: There's a couple areas, obviously, continued strong performance in irrigation has a very large effect on us. The telecom area is, as we said, is trending upwards 15% to 20% growth, if that accelerates, that's very margin accretive for us. And even in the rest of ESS, if the delays that we've seen around construction projects, this is global, not just the U.S., if the COVID impacts were to go away a little quicker, then we would see places like Europe and India where we do have some nice backlog, it's just not shipping because of the issues there, then those are things that would tend to move us towards the top side of the range.
Brian Drab: Okay, thanks very much.
Operator: Thank you. Our next question is coming from Chris Moore of CJS Securities. Please go ahead.
Chris Moore: Hey, good morning, guys. Yeah, so just following up on what just talked about. On the ESS side, when we're talking about short-term market softness in transportation, as you sit now is that over the next couple of quarters, or we're not sure if it's going to be till mid fiscal '21 until there's some improvement there?
Steve Kaniewski: We had expected -- so seasonally Q2 is usually stronger than Q1, just because that's when a lot of projects do get started. But even the market softness, we kind of anticipated from the first part of the year here, the first-half, and we expected it to improve in the second-half of the year. The timing that we saw kind of in the third and fourth quarter delays, really just translate into that kind of first-half for us. And then the vaccination rates with budgets kind of being made whole by some of the earlier actions were the state's got replenished due to the stimulus spend, we feel that the second-half of the year lines up well for a lot of road construction projects.
Chris Moore: Got it. And maybe just shift gears real quick. Talk about solar in North America on the utility side. So, obviously, you've kind of talked about it, it takes a while to get these approvals in place with utilities. For the most part, it looks like you're in good shape there. Just trying to understand kind of the sales cycle at this stage on utility side?
Steve Kaniewski: Yeah, the projects have a long gestation. They take some time to develop, as developers get their own approval, they get bids, they go back, it kind of goes back and forth. There is some supply chain disruptions, overall, around microchips and the PV panels and how that fits in. And then you had the whole change in the tax credit situation. So there are some delays in some projects, that we would expect more towards the back end of the year to move forward. But you're talking about six to nine months kind of sales cycle, really to secure backlog in that area. Now, once it ships, it tends to ship pretty steadily because of the construction angle. It doesn't go through the kind of the same permitting changes that you may see on a traditional utility line. So, once we have confidence in the project moving forward, they tend to just go and ship complete. So, may be a long winded answer, but again, six to nine months, and very much impacted by changes in tax credits and some of the supply chain issues, at least in the early part of this year. And that's what we've seen and heard from others in the space, as well.
Chris Moore: Got it. That's helpful. I'll jump back in line. Thanks, guys.
Operator: Thank you. Our next question is coming from Brent Thielman of D.A. Davidson. Please go ahead.
Brent Thielman: Thank you. Good morning.
Steve Kaniewski: Good morning, Brent.
Brent Thielman: The two new orders in utility, do you start to execute on those immediately? I'm kind of wondering where you sit from a capacity perspective, and also how we think about the burn rate at this large utility backlog?
Steve Kaniewski: Yeah, those orders are actually out. They are into 2022, and 2023. So those were given just as confidence in our performance today, and our ability to hit their shipping schedules. Our backlog right now is already set from what we had received earlier. So this doesn't impinge or impact our capacity at this point.
Brent Thielman: Okay. I mean, considering that and as soon as some other activities that are going on behind the scenes in terms of new work coming. I mean, do you look at this business over the next two to three years as a billion dollar plus sales business? I mean, is there that much visibility out there right now that you can achieve that?
Steve Kaniewski: Absolutely. We're very confident it'll be north of a billion dollars over the next few years.
Brent Thielman: Okay. Great. Thank you.
Operator: Thank you. Our next question is coming from Ryan Connors of Boenning & Scattergood. Please go ahead.
Ryan Connors: Great. Thanks for taking my question. Got a couple big picture question. But first, just want to circle back on the issue of guidance. So I mean, obviously, it seems like you're pretty clearly telegraphing a bit of an upside there. And I think, if you look, historically, I mean, the way people will look at guidance is that it's at least the midpoint is a fair reflection of risks being balanced up and downside and their quantum models that kind of price and value stocks based on that. So, I mean, are you sort of telling us that that's not how we should look at the midpoint, the midpoint of guidance isn't really your point estimate of really where you think? The risks aren't balanced up and downside to that, is that a fair statement?
Steve Kaniewski: Ryan, I would say that the midpoint is still a good proxy and indication of our balance of looking at, on the downside, the raw materials and the inflation just because it's so uncertain, and it tends to have an outsize effect on our various businesses. And you take India and France and potentially Brazil and that's why we're a little bit hesitant to say let's move up. On the top side, there are drivers that are in place that I talked about in the earlier question. That could be balanced upside, as he talked about getting towards maybe somewhere in that, north of 970 number. So, it really depends and it's early. Again, I think after we get another quarter in, when we would have a more firm backlog as we look at the back-half of the year to know where it was priced in relation to our cost models. So, there's positive, it's tailwinds to our businesses. And I think that's what we're projecting is that there is at least positive tailwind. And it's not solely on operations or executional risk.
Ryan Connors: Sure. So stocks, opening up a little lower after what's really a pretty good quarter overall, I think that guidance, lack of an upward revision is a big part of that. So I think it's a really important point. Couple big picture, bigger picture questions. First on, you talk a lot about precision Ag and precision irrigation and obviously, a lot of big value proposition there. But we've been following this issue of these this "right to repair legislation" that there's more and more farmers and others saying, you know, there's too much tech embedded in products. And they're actually trying to make sure that they're able to fix things without having a consultant dealer, in your case, for example. Do you have any comments on that, and how it impacts the sort of adoption of precision Ag and what Valmont is doing to address those issues with customers?
Steve Kaniewski: Yeah, I mean, first off, we're very open platform. So everything that we do is built with the serviceability, the fact that it's off the shelf kind of technology, and easy to maintain and upgrade is kind of a driving R&D principle for us. So, we believe we're on the right path with the grower in that sense that if it needs to be self-service, it could be and it is easier for them to bring in a dealer, they make that choice. In terms of the overall big picture of adoption, we saw this in cars. We've seen it in other types of capital goods as well, where tooling is specialized. And it's not easy to work on things that are computer based. I think that's just a function of technology. And I think while there's some initial pushback, because people were used to happen under the hood, ultimately, the technology benefits outweigh the fact of being able to service it yourself. We're going to try and error on the side of making it easy, so that as long as we can, because the value proposition for a grower is they can go out and do it themselves. So we're going to stick with that as a guiding principle. But know that the market eventually will probably succumb to the fact that if there's people out there that are making it, a closed system we'll see how that goes. I think only legislation would change that at this point.
Ryan Connors: Okay, that's a useful perspective. And then my last one was just big, real big picture. And I know you don't have a crystal ball any more than anyone else, Steve. But I mean, in terms of the cycle, the duration of this ag cycle, as we shape this up, we've obviously been through a pretty lengthy hangover after things got maybe too good for a while. And there was some fallout that lasted from that. And now we've got corn up above 620 a bushel yesterday and things just seem to be really taking off. I mean, what's your view on the duration of this one? I mean, can we be in for a multiyear cycle? Or is there a risk of things kind of overheating, and getting too good too soon?
Steve Kaniewski: Well, our perspective is that the government payments last year, and frankly, even the year before really help shore up the balance sheets of the growers. And now that they're getting I'll call it real, "net farm income" and it's coming from the fact that the supply demand ratios are where they're at. If you look at protein stocks, very low. If you look at grain stocks, very low. That sets up at least for a multiyear event. When we look back at our history, the way we've seen our cycles is we get about seven years of up, followed by seven years of kind of a declining market. That's what played out, it became off the 13 supercycle is we trended down and now it tends to move back up. If you throw another weather event that gives you more confidence that that duration will last even longer. But right now, again, all the fundamentals are there to support the higher price of the grains, at least well into next year. Beyond that, obviously, it is more of a little bit of a crystal ball. But, there are just low stocks, and there's a lot of use. So we feel like it should be have at least a good duration here.
Ryan Connors: Great. Well, hey, thanks for your time this morning.
Steve Kaniewski: Thanks, Ryan.
Operator: [Operator Instructions] Our next question is a follow-up coming from Nathan Jones of Stifel. Please go ahead.
Nathan Jones: Hey, guys. I just wanted to ask one on cash flow, just given the inflation the likely increase in inventory. Can you just talk about what you're expecting from a conversion standpoint this year or an investment in working capital standpoint?
Avner Applbaum: Yeah. So over the last couple of years, we actually had a really strong conversion, 1.3 1.4. This year, it's possible we'll go a little bit below one just due to the inflationary pressures that combine the two years that's like the over that one. So as always, with inflation it will put pressure on inventory, receivables, et cetera. We are taking a lot of initiatives to optimize our inventory to manage our whole conversion cycle, which will have a strong benefits on our cash flow. So, we'll have a strong year on cash flow with some pressure from steel.
Nathan Jones: And maybe kind of 90% conversion, 80% conversion somewhere in that kind of range you are looking for 2021?
Avner Applbaum: Yeah, we'll have a range between 80% to 81% [ph] for sure. Yeah, 81%.
Nathan Jones: Okay, thanks very much.
Operator: Thank you. At this time, I'd like to turn the floor back over to management for any additional or closing comments.
Renee Campbell: Thank you for joining us today. As mentioned, today's call will be available for playback on our website or by phone for the next seven days. We look forward to speaking with you again next quarter.
Operator: Included in this discussion are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on assumptions that management has made in light of experience in the industries in which Valmont operates as well as management's perceptions of historical trends, current conditions, expected future developments and other factors believed to be appropriate under the circumstances. As you listen to and consider these comments, you should understand that these statements are not guarantees of performance or results. They involve risks, uncertainties, some of which are beyond Valmont's control and assumptions. Although management believes that these forward-looking statements are based on reasonable assumptions, you should be aware that many factors could affect Valmont's actual financial results and cause them to differ materially from those anticipated in the forward-looking statements. These factors include, among other things, risk factors described from time to time in Valmont's reports to the Securities and Exchange Commission as well as future economic and market circumstances, industry conditions, company performance and financial results, operating efficiencies, availability and price of raw material, availability and market acceptance of new products, product pricing, domestic and international competitive environments and actions and policy changes of domestic and foreign governments. The company cautions that any forward-looking statement included in this discussion is made as of the date of discussion, and the company does not undertake to update any forward-looking statement. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.